Operator: Good morning, everyone, and welcome to Crombie REIT's Fourth Quarter Conference Call. [Operator Instructions] This call is being recorded on February 20, 2025. I would now like to turn the conference over to Ruth Martin. Please go ahead.
Ruth Martin: Thank you. Good day, everyone, and welcome to Crombie REIT's fourth quarter and year end 2024 conference call and webcast. Thank you for joining us. This call is being recorded in live audio and is available on our website at www.crombie.ca. Slides to accompany today's call are available on the Investors section of our website under Presentations & Events. On the call today are Mark Holly, President and Chief Executive Officer; Kara Cameron, Chief Financial Officer; and Arie Bitton, Executive Vice President, Leasing and Operations. Today's discussion includes forward-looking statements. As always, we want to caution you that such statements are based on management's assumptions and beliefs. These forward-looking statements are subject to uncertainties and other factors that could cause actual results to differ materially from such statements. Please see our public filings, including our management's discussion and analysis and Annual Information Form for a discussion of these risk factors. Our discussion will also include expected yield on cost for capital expenditures. Please refer to the Development section of our management's discussion and analysis for additional information on assumptions and risks. I will now turn the call over to Mark, who will begin the discussion with comments on Crombie's strategy and outlook, Kara will review Crombie's operating fundamentals, discuss our financial results, capital allocation and approach to funding, and Mark will conclude with a few final remarks. Over to you, Mark.
Mark Holly: Thank you, Ruth. Good morning, everyone, and thank you for joining us for our four quarter and year-end call. Crombie delivered exceptional performance in 2024, achieving strong results across all operating and financial metrics. In a year where the broader real estate sector faced complex and shifting macro dynamics, such as interest rate volatility, inflation, immigration and the evolving US-Canada trade relationship, our continued focus on grocery-anchored and necessity-based retail proved our underlying strength. Our strategy prioritized stability, steady growth and our balance sheet and is designed to deliver stable growth in any economic environment. Demand for necessity-based retail remains robust, and we continue to see meaningful opportunities to enhance our tenant mix and optimize our portfolio with established national retailers, including our strategic partner, Empire. Our focus remains on the curation of highly desirable necessity-based real estate at the heart of vibrant towns, expanding cities and major urban centers. This approach enables us to generate consistently strong performance across key metrics year-in, year-out, and 2024 is no exception. Our operating achievements in 2024 included committed occupancy of 96.8%, amongst the highest levels in Crombie's history, same-asset property cash NOI growth of 2.9%, average annual minimum rent per square foot growth of 3.9%, and we added 225,000 square feet of new leases and renewal spreads of 9.8%, setting us up for solid growth in NOI in years to come. All this resulted in AFFO per unit of $1.08, a 6.9% increase from 2023. Our AFFO payout ratio now sits at 82.4%, and we ended the year with a debt-to-EBITDA ratio of 7.96 times. I'm incredibly proud of our team performance. Today, I want to highlight how we look to generate long-term value for our unitholders through 3 interconnected pillars of our Building Together strategy, own and operate, optimize and partners. Each of these pillars is carefully designed to ensure we operate with excellence, prudently pursue initiatives and allocate capital that drives sustained growth and unlocks meaningful value. First, to own and operate, we continue to grow our exposure to high-quality grocery-anchored retail properties. And in 2024, we completed the acquisition of a 48,000 square foot FreshCo anchored site with potential for future intensification, the acquisition of a 14,000 square foot IGA grocery store from Empire and exercised our right to acquire the underlying land parcel in our existing land lease, which has a 52,000 square foot Sobeys store. We also took the opportunity to acquire the remaining 50% of Zephyr in Downtown Vancouver West End neighborhood from our joint venture partner. Zephyr is a 330-unit rental residential asset anchored with a 45,000 square foot Safeway grocery store and complementary necessity-based retailers. We were also active in recycling select assets throughout 2024, disposing of 2 noncore assets that exhibited structural vacancies and higher-than-average maintenance CapEx and one low-yielding future development site, further enhancing the quality of our portfolio and future cash flows. Subsequent to the year-end, we sold one additional noncore asset totaling 188,000 square feet in St. John, New Brunswick for total proceeds of approximately $3.2 million. This asset also exhibited structural vacancy and as a result, will increase occupancy by approximately 30 basis points, all else being equal. Turning to portfolio optimization. Our portfolio holds significant embedded value, and our team is dedicated to optimizing our assets, unlocking their most effective use and maximizing returns for our unitholders. Capital allocation plays an important role in our optimization strategy, and our team maintained disciplined and prudent allocation with total capital expenditures during 2024, excluding the acquisition of Zephyr of approximately $121 million, of which approximately 50% was allocated to nonmajor initiatives, 35% to our major development pipeline and 15% on grocery-anchored acquisitions. Non-major developments in 2024 included modernizations of grocery-anchored assets, repurposing of existing space such as our Burlington site, where we repurposed space to add a new Farm Boy grocery store and as well as land use intensification where we added 33,000 square feet of GLA to our existing centers. At the end of 2024, our current nonmajor development project pool has an anticipated yield on cost between 6.9% and 8%. With respect to major developments, we remained active advancing sites in our development pipeline through the entitlement process. Entitlement is a strategic focus for us and offers us flexibility and optionality in how we unlock and maximize the value of these assets. Along with the ongoing construction of the Marlstone, entitlements will remain the focus of our major development efforts in 2025. Lastly, partnerships. Our partnership with Empire is an important component of our growth strategy. The alignment of our real estate strategy with Empire's operational priorities is expected to yield several mutually beneficial projects in 2025, such as acquisitions, development management services, continued investment in modernization and new store opportunities. While we deeply value our partnership with Empire, we continue to look to expand our network of partnerships to effectively unlock value in our development pipeline, while maintaining our top quality balance sheet. In collaborating with partners who bring expertise in specific markets and offer additional funding sources, we expect to be able to minimize capital commitments, while creating opportunities to generate incremental cash flow for Crombie. I will now turn the call over to Kara, who will discuss our operational and financial results, as well as highlight the solid foundation of our balance sheet. Kara?
Kara Cameron: Thanks, and good morning, everyone. Crombie continues to emphasize operational excellence by striking a strategic balance between stability and growth. Throughout 2024, we maintained strong tenant retention, achieved renewal growth of almost double our historical average, attracted new tenants as well as tenant expansions and invested in our development program. Demand for our properties remains strong. Our team is committed to ensuring we have the optimal tenant mix to align with the evolving needs of the communities we serve, which in turn positively contributes to important performance metrics. In the fourth quarter, we completed 171,000 square feet of renewals at a year one increase of 10% over expiring rental rate. Team has always put an emphasis on achieving rental growth throughout the duration of the lease, securing a 12.3% increase when comparing the expiring rental rate to the weighted average rental rate for the renewal term. New leases and expansions remain an important growth driver, increasing occupancy by 225,000 square feet over the course of the year. These leases had an attractive average per share rate of $23.65, further boosting our in-place rent per square foot. Is this leasing activity, in addition to contractual rent step-ups and supplemental rent from modernization investments that grew our same-asset property cash NOI by 2.4% in the fourth quarter, and 2.9% for the year. In the fourth quarter of 2024, we achieved very strong AFFO and FFO growth, while reaching payout ratios amongst the lowest in our history. AFFO per unit increased 7.7%, while FFO per unit increased 6.7%, driven by higher property revenue from robust leasing activity, as well as acquisitions. This was partially offset by higher interest expense, ended the quarter with AFFO and FFO payout ratios of 79.7% and 70.3%, respectively. We continue to monitor costs, while simultaneously expanding revenue through development and management services. General and administrative expenses as a percentage of revenue, including property revenue and revenue from management and development services were 30.9%, well-below the 4.9% in the fourth quarter of 2023. Now turning to our balance sheet. Crombie's financial strength is built on disciplined capital management and a focus on long-term stability. The well-structured debt ladder minimizes refinancing risk by staggering debt maturities, while maintaining ample liquidity and ensures financial flexibility during economic fluctuations. We ended 2024 with available liquidity of $682 million compared to $584 million at the end of 2023. Our unencumbered asset pool increased by 40%, now at $3.7 billion, providing Crombie with enhanced optionality. Debt to gross fair value was 43.6%, up 60 basis points compared to Q4 of 2023, while our debt to trailing 12-month adjusted EBITDA was 7.96 times, improvement from 8.03 times at December 31, 2023. Proactive approach to balance sheet management is an important element of our solid foundation. In the fourth quarter, our team advanced several priorities, reducing risk and further strengthening our financial position. As mentioned on our third quarter call, we had our largest debt offering to-date, issuing $300 million of senior unsecured notes with a term of 7.25 years at an interest rate of 4.73%. Funds from the issuance were used to repay and redeem existing indebtedness, including our $175 million Series E senior unsecured notes, bearing an interest rate of 4.8% that were set to mature in January of 2025. Crombie also became the sole owner of Zephyr and assumed the additional 50% of existing mortgages, equivalent to approximately $89 million. The balance of the purchase price was funded by drawing on a new unsecured bank credit facility. Further, the debt has an attractive blended interest rate of 3.5%. Additionally, in the fourth quarter, we repaid $122 million of mortgages with a weighted average interest rate of 4.23% and converted our secured revolving credit facility to an unsecured revolving credit facility and increased the maximum principal amount to $550 million, previously $400 million. The amendment is not expected to have a material impact on our all-in rate. These activities are aligned with our goal of achieving an upgrade to BBB mid from Morningstar DBRS. Previously communicated, our requirement for an upgrade is a 60 to 40 unsecured to secured debt mix on a sustainable basis. End of 2024, we stood at 61% unsecured to 39% secured. As we enter 2025, Crombie is well positioned with minimal near-term debt maturities and access to diverse capital sources, providing the flexibility to meet financing needs and to advance strategic initiatives. With that, I will now turn the call over to Mark for a few closing comments.
Mark Holly: Thank you, Kara. Looking ahead, we are in a position of strength with strong fundamentals and key competitive advantages, including a strategic focus on necessity-based grocery-anchored retail, complemented by grocery-related industrial and mixed-use properties, providing resilience and shifting economic conditions, a high-quality tenant base delivering stable and recurring cash flows, a long-standing partnership with Empire that offers consistent growth opportunities and geographic diversification, which serves to mitigate the impact of regional economic fluctuations. And finally, a well-managed and robust balance sheet that ensures financial stability. Before concluding, I want to thank the entire Crombie team for their dedication and hard work throughout 2024. Your contributions have been instrumental to our success. To our investors, thank you for your trust and support. With a high-quality portfolio, strong balance sheet and a focused strategy, we are well positioned to navigate current market uncertainties, deliver consistent cash flow growth and create long-term value for unit holders. With that, we are pleased to answer any questions you may have.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Brad Sturges from Raymond James. Your line is open.
Brad Sturges: Hey, good morning. Maybe I want to start off, and I apologize if I missed the comment, but just want to get your sense of what you would expect for same-property NOI growth for 2025?
Mark Holly: Brad, if you sort of look at what we've been always targeting, our target ranges have been in the 2% to 3% range. When you sort of look back at how we have been performing over the last couple of years in 2023, we're at 3% we were at 2.9% and able to stay in those range of the 2% to 3%, but have obviously been on the high end of it. And we expect to deliver the same type of results we've been delivering in the last couple of years going forward. And driving that new leasing activity that we continue to do that we talked about in the prepared remarks, renewal spreads that Arie and his team have been able to accomplish. It's our non-major investments into modernizations, land use intensifications, contractual rent step-ups that we have, that partnership that we've been able to drive through Empire. And so that's why we're comfortable and confident that we can continue.
Brad Sturges: Sounds good. And just, I guess, on the theme of renewal or rent growth there, I guess you touched basically about 10% on renewals for last year. Is -- do you think you'd be consistent again in that range for 2025, particularly for what's left to do?
Arie Bitton: Hey, Brett, it's Arie. We're seeing some demand for this year continuing [Technical Difficulty] our initial discussions into this year are very positive. So [Technical Difficulty] mid- to high, I believe we'll be added over last year to the...
Brad Sturges: And just from an occupancy perspective, like no major non-renewals expected this time? Or would you continue to expect to be sort of in that 96% plus range for occupancy this year?
Arie Bitton: Where we are today, 96.8%. We've always said [Technical Difficulty] full occupancy. What we're seeing though is particularly with [Technical Difficulty] going to higher end of the range where we [Technical Difficulty] and we believe we can [Technical Difficulty] higher occupancy. What I will also tell you is that the actively managing the list. And while we're [Technical Difficulty] productivity, we believe a lot of the tenants that might leave us, we'll be able to replace with significantly higher rents as well. So we're seeing more demand than we are seeing forecast departures. And we believe that those forecast departures, we planned around, and we believe we can actually make [Technical Difficulty].
Mark Holly: One thing that I'd just top up from Arie's highlights is where we sit today at 96.8% and that our typical ranges or target ranges are like 96%, 97%. We're pretty bullish as we go through 2025 that we're going to be the high side of that and maybe even pushing through as we work through the year. And coming from two sides, as Ari highlighted, it's coming from the leasing activity that we're able to do [Technical Difficulty] non-core assets that have been in our portfolio as we continue to prune the lower bottom feeders of our portfolio.
Brad Sturges: Just on that, like is there a target in mind in terms of strategic dispositions? Or is it more of an opportunistic call program?
Mark Holly: Look, we evaluate our entire portfolio. We look at the top performers and how do you keep them top and then we evaluate the bottom feeders and sort of what is it going to take to move as we look through that our strategy of owned and operated, what do you own and how do they contribute? So looking at the bottom feeders and do we want to inject capital to optimize it? Do we want to manage through the maintenance CapEx? Or is it better served to push it out to the market? We have a few additional properties that we've got our eyes on. We're evaluating now and making some decisions. So it's a little bit of opportunistic, but because of how the market is, but we also are looking at it from a viewpoint of can we invest and get it up the ladder. As we called out during the fourth quarter, we did sell two underperforming, which will contribute to economic occupancy by about 30 basis points. And then subsequent to the quarter, we sold another one, which should contribute. And so that's the examples where we are deciding to dispose and not take on -- use our capital in more effective ways. There are some in our portfolio that we believe the investment in capital through nonmajor is the most effective.
Brad Sturges: Yeah. Thanks. I'll turn it back.
Operator: Our next question comes from the line of Mario Saric from Scotiabank. Your line is open.
Mario Saric: Hi. Good morning, and thank you for taking questions. I want to focus a bit on capital recycling and just specifically maybe an update on any monetization plans at Zephyr along with the goalposts we should think about on the possible monetization of Broadview and commercial?
Mark Holly: Hi, Mario, just if I heard correctly, you were asking about Zephyr and Broadway and Commercial, but broadly asking about disposition recycling.
Mario Saric: Yeah, more of a focus on what goalposts or what items we should think about with those two assets in particular.
Mark Holly: Sure. Well, we just brought in Zephyr Baby Street into the portfolio. As we talked about it last quarter, we think that, that is a crown jewel and it's long term to cash flow growth. So it is not on the radar for disposition at this time [Technical Difficulty] on specifically Broadway and Commercial, we continue to work with our partner through entitlement. Once we get through entitlements, we will review where the market is in terms of capital requirements. We have to go into development there. When we look at the entire pipeline in totality and sort of how do we manage the optimization of our -- that pipeline was upwards of -- its 26 today. It was upwards of 33, I think it was. So, we've developed three, which are the three that we have today. We have one under construction and we sold three. This is the pipeline to manage our sources and uses and cash flow. So, for the major projects that we have today, at this point, there is no anticipation terms that we're going to dispose of.
Mario Saric: Okay. So, to clarify then, the intention is to own 100% of that going forward?
Mark Holly: No, at this point, Mario.
Mario Saric: Okay. And then just on the entitlement process, I think in the last quarter, you mentioned you're expecting in the first half of 2025 at Broadview and Commercial. Is that still the expectation I asked because I did see the construction tendering disclosed pushed into 2026 from 2025.
Mark Holly: We pushed it out from 2025 to 2026 because that's the reality that we're in right now. We are still anticipating to be able to get that in front of counsel and get that entitlement approved in the half of 2025. And then it just -- it takes time to get from entitlement into development permits to get ready for construction. So we just moved that out to be more realistic of the time frame. We talked about in the first half. It's going to be sometime in the second quarter.
Mario Saric: Okay. And then just two more on my end. The CBRE Q4 cap rate survey noted a pretty notable decline in Halifax retail cap rates across most retail categories. Your IFRS cap rate was flat quarter-over-quarter, but were there any notable transactions in the market that kind of made you revisit your portfolio cap rate assumptions?
Kara Cameron: Hi Mario, it's Kara. Nothing in the Halifax market right now. We've got a stable asset portfolio in that market, largely grocery anchored. And so we didn't see any cap rate expansion on our specific.
Mario Saric: Okay. But in the broader market, is there activity that you're seeing that could suggest cap rates in the broader market are coming down?
Kara Cameron: There are definitely different cap rate expansions that we're seeing in certain markets, particularly in the Ontario market. But comparatively to what we've looked at -- sorry, one second. Sorry, comparatively to what we've been seeing across our portfolio, we haven't seen any major changes. Cap rates, one of the things that we do want to highlight in our cap rates this quarter was really the acquisition of Davie Street. We removed that from our joint venture portfolio and brought it into our Crombie portfolio. And so we did see that move within the quarter. And so that has shown a bit of a cap rate change for us, but that's really the explanation. So not much cap rate compression overall.
Mario Saric: Last one…
Kara Cameron: A bit of trouble with the -- we're getting text that we're having some intercom trouble and that we might be breaking up. So, that's why I apologize I stopped in the middle there, but just wanting to make sure that you could hear us clearly.
Mario Saric: Yes. No, you're coming across loud and clear. My last one--
Kara Cameron: Technology is never fun.
Mario Saric: The April payout ratio was sub-80% in Q4. Is there a specific level where the Board would like to see before considering potential distribution growth?
Mark Holly: So Mario, distributions for Crombie is on -- it's definitely being talked about at the management level and having dialogues with the Board around it. We're fortunate enough that we're now at a payout ratio that we're more comfortable to have those dialogues. It has moved quite significantly from where it was a year ago to where it was two years ago. We continue to look at sources and uses to best deploy our investments, but it is a dialogue that we are having.
Mario Saric: Okay. That’s it for me. Thank you.
Operator: Our next question comes from the line of Ben Liu [ph] from Desjardins Capital Markets, your line open.
Q – Unidentified Analyst: Hi. Good morning.
Kara Cameron: Good morning.
Q – Unidentified Analyst: We understand that Empire opened roughly 40 new stores in 2024 and has plans to double that growth in 2025. I'm just wondering like to what extent do you expect Crombie to participate in Empire's growth in footprint in 2025? And would it involve any new development, either intensification or greenfield?
Mark Holly: Hi. So Empire, as you know, is one of our first strategic partners and how we grow our business. And as we talked about in the prepared remarks, we overlay our strategic plans and their priorities and see where we can drive some value for Crombie. And throughout 2024, we showcased that. We invested $30 million into modernizations where we improved many of our shopping centers across the country. We -- add a new Farm Boy into the Burlington market, which marks Empire's 50th Farm Boy and our fourth of the portfolio. We added new into markets like Mount Forest [ph], it is in a commissary build-out in Calgary. We bought three sites, one absolutely Empire as we called out. And so we are focused in on grocery anchored. It is the core of our business. We will continue to partner with Empire where it makes sense for Crombie. Most of the investment that we make will come through acquisitions and non major developments. And if you look at the total capital that we plan to invest in 2025, it's always talked about a target range between $150 million and $250 million each year to reflect back on 2023 or 2024 and how we split that capital allocation, we've -- 15% to 20% of it goes to acquisitions, about 40% to 50% goes to nonmajor and the rest goes to major, and we only have one major project on the go, which is the milestone. The rest goes through entitlement work. So Empire is, as we talked about, is a very strategic partner for us. It helps drive our key metrics and focus as they continue to grow, we hope to continue to grow with them.
Q – Unidentified Analyst: Yes. Thanks for the color. Another question is that we know that the farm retailer, Peavey Mart, closed all its stores across the country. And I believe Columbia has one Peavey location. I'm just -- that closed store?
Mark Holly: Right. So yes, that's correct. We have one, that's our location in Mount Forest. We were proactively already speaking with prospective tenants for that space well in advance of the filing. So there's a chance that, that property could before the claim is done. But in advance of that, we are speaking with numerous tenants, and we're looking to once [Technical Difficulty]
Unidentified Analyst: Color. Last for me is on your recent asset sales, we noticed that the per square foot pricing for two retail assets sold in 4Q and another property for February is pretty low. So I'm wondering like besides the structural vacancy and high CapEx, whether you could give us more detail like more color on why the price is low.
Mark Holly: Sorry, you were breaking up a little bit on why the price is so low for what?
Unidentified Analyst: On a price per square footage basis for the -- for the three properties sold.
Mark Holly: In terms of the properties that we sold at the price to which we sold them at?
Unidentified Analyst: Yes, yes, like the price per square footage. I believe it’s around 20. Yes.
Mark Holly: Amherst and Riverview both had, as we talked about, structural vacancy challenges, high maintenance CapEx that we were at. And we had some tenants that were coming up that we knew had to be exited or planning to exit, and then we were going to be looking at how to continue to grow that asset. And so those have been some of our weakest performing locations in our entire portfolio, and we're fortunate enough to find a buyer that is willing to buy them and to do major investments in it locally. So that's why you're seeing the prices that we were selling them at for that opportunity. Kara kind of interject and give [Technical Difficulty]
Kara Cameron: Yes. One of the items, too, if you look at our disclosure, it actually is a bit misleading because on the stabilized income, that is reflective of the prior year. And while we did have some vacancies in those properties this year, it actually was a drag on income. So it's not a 1:1 in terms of what we were able to achieve from a disposition on those properties.
Unidentified Analyst: Okay. Thank you. Yes. I’ll turn it back.
Operator: Our next question comes from the line of Sumayya Syed from CIBC. Your line is open.
Sumayya Syed: Good morning. I want to touch firstly on the same property numbers in the quarter. It's a very small portion, but just did note that industrial was down in the quarter. Was there anything kind of transient there? And does that revert back to normal levels going forward?
Mark Holly: Sumayya, no, it will come back to normal levels. The asset NOI numbers that we have recorded this quarter, if you look at it from more of a year basis – representative.
Sumayya Syed: Okay. And then just one more for me, following up on Zephyr. It looks like the plan there is to hold on to that asset. And can you walk us just through the NOI or any other upside potential you see with that asset?
Arie Bitton: Hi, Sumayya, you broke up there. We are having some polycom issues here. What asset were you referring to?
Sumayya Syed: The Zephyr?
Mark Holly: Okay. And just in terms of the Zephyr in terms of what was the question regarding the...
Sumayya Syed: Yes. Just to walk through the NOI or upside potential you see there.
Mark Holly: Yes. So, Arie and his team today is running in around the 93%, 94% of occupancies. We've had a number of tenants that were on longer-term stays that are turning over. We talked about that last quarter. And so we're getting some nice mark-to-market on that. For Zephyr, there was about 22 in total. Eight of them have finally reached expiration, and they're going into month-to-month, which will have a nice lift or if they renew, we'll get a nice mark-to-market on it. There are 14 that were previously done. We did get a healthy changeover on it. Look at the asset and sort of its long-term growth profile, we think really highly of it. It's in a highly desirable area of Vancouver. There is almost no new construction going on in that market. Occupancy has fluctuated a little bit on that, but our rent has been absolutely stable and actually slightly improved quarter-over-quarter. So we do see it growing over the next number of years, which is why we're really excited that we were able to buy the other 50%.
Sumayya Syed: Got it. That’s all I have. I’ll turn it back. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Frank Liu from BMO Capital Markets. Your line is open.
Frank Liu: Good morning, guys. Just want to follow-up on Lin's [ph] question on broader retail sector. Over the last couple of months, we've seen some retailers seeing operations and Ty Us are closing several stores, while Walmart are putting out the $6.5 billion expansion plan. I mean the overall retail fundamentals are very strong. And just wondering what are the opportunities and challenges you guys see within your current portfolio and tenant mix over the near to medium-term?
Mark Holly: Hey. Good morning. We're seeing a lot of demand. And I think we're also seeing a lot of flexibility and optionality by the tenants that are within our portfolio. So we expanded a number of discounters, pet stores within our portfolio. So, because we're near full and so are many of our peers, we are seeing tenants now start to think about different configurations, and that's going to bode really well for our portfolio. So the incomings that we're getting are quite robust. We're just coming back from a conference last month where we had a record number of meetings. So I think all that to say is that, particularly in, grocery-anchored essential needs so the demand is quite high.
Frank Liu: That’s great to hear. Thanks for the color. That’s all my question. I’ll turn it back.
Operator: Our next question comes from the line of Matt Karnick [ph] from National Bank Financial. Your line is open.
Unidentified Analyst: Good morning, everyone. Just maybe to follow-up on Frank's questioning there. Are you seeing any differences in terms of different geographies across the country? Or is it pretty universal in terms of the situation? And also, you mentioned a watch list. I think some of your peers have been saying that they're small watch list. But could you give us a sense as to what type of tenants would be on that watch list?
Mark Holly: Sure. So I'll answer your second part first. So our watch list is quite small. We're updating it constantly. We're leveraging both anecdotal broker feedback as well as analytical information. But like I said, we're proactively managing that watch list. The tenants or the tenant types we're seeing in that watch list are predominantly discretionary-based tenancies. We don't have a lot of those in our portfolio. The ones that are in our portfolio are generally our concern would be more chain-wide failures, than issues specific to our properties. With respect to regionality, I would say that it's not just urban locations, like we're a coast-to-coast organization, and we're having discussions with tenants from Newfoundland & Labrador BC really in our grocery...
Unidentified Analyst: Appreciate that color. And then maybe just quickly for Kara. We noticed a little bit of an up-tick in amortization of deferred financing costs this quarter, but there's been some moving parts of Zephyr moving out of the JV portfolio and into the fully owned. Was there also some kind of early repayment accelerated amortization for the bond that you repaid? Or is that number for deferred financing costs a pretty good proxy for what it should be in subsequent quarters?
Kara Cameron: No, you've got it. It was for a pull forward of some mortgages that we paid off. As we've noted before, we are chasing that BBB mid. And in order to get the positive 61% unsecured, we did pull forward some mortgages and repay those leading to some extra deferred financing costs that we do not anticipate there are one-time events.
Unidentified Analyst: Okay. So I think it was roughly $1 million of incremental costs this quarter. Can we take all of that out? Or should we take a portion of it out?
Kara Cameron: All.
Unidentified Analyst: Okay. Perfect.
Operator: There are no questions at this time. Please continue.
Ruth Martin: Thank you for your time today. And we look forward to updating you on our first quarter call, in May.
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.